Operator: Ladies and gentlemen, thank you for standing by. Welcome to the McGrath RentCorp First Quarter 2019 Conference Call. At this time, all conference participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions]. This conference is being recorded today Tuesday April 30, 2019. Before we begin, note that the matters that the company management will be discussing today that are not statements of historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements regarding our 2019 total company operating profit outlook as well as statements relating to the company's excitations, strategies, prospects or targets. These forward-looking statements are not guarantees of future performance and involve significant risk and uncertainties that could cause our actual results to differ materially from those projected. Important factors that could cause actual results to differ materially from the company's expectations are disclosed under Risk Factors in the company's Form 10-K and other SEC filings. Forward-looking statements are made only as of the date hereof. Except as otherwise required by law, we assume no obligation to update any forward-looking statements. In addition to the press release issued today, the company also filed with the SEC the earnings release on Form 8-K and the Form 10-Q for the quarter. Speaking today will be Joe Hanna, Chief Executive Officer; and Keith Pratt, Chief Financial Officer. I will now turn the call over to Mr. Hanna. Go ahead, sir.
Joe Hanna: Thank you, Liz. Good afternoon, and thank you for joining us on today's call. I will start the call with some comments on our first quarter 2019 performance, and then Keith will provide additional detail in his financial review. The good news is we are off to a strong start for the year and the business is firing on all cylinders. The first quarter sets the pace for the year and can be influenced by a number of factors: weather was a challenging factor this year, but despite a colder-than-usual January, business demand was overall very positive. Company-wide, we realized 11% rental revenue growth and 24% improvement in operating profit. Activity for our customer base was healthy, from school district bookings; to commercial construction; to electronic testing in communications; and general purpose applications. We are very pleased with how the quarter unfolded. At Mobile Modular, for the quarter, we grew rental revenues by 14% and operating income by 26%. We increased spending in our production facilities in part to ready equipment due to school districts placing orders earlier than usual. Some projects moved through state and local approval processes faster than planned in California, Florida and the Mid-Atlantic. Accordingly, we put equipment on the line right away and are shipping and billing some rental orders earlier in the season. Sales bookings for both commercial and education projects also materialized nicely. Our Portable Storage business continues to gain traction with rental revenue growth of 15% in the first quarter. Our efforts to build out our branch network continue in earnest, and we plan to open 2 new Greenfield locations this year.  At TRS-RenTelco, we are seeing demand for both general purpose as well as communications customers. Rental revenues increased 10% and operating income grew 6%. Utilization of general purpose equipment is high, and we are buying to meet demand with much of the new equipment going on rent right away. Our fleet management has been effective, and we're meeting internal targets to sell equipment out of the inventory at the right times in the technology cycle. There has also been increased activity with 5G as carriers are beginning to install the new technology. 5G will provide a significant increase in network bandwidth and will have a profound effect on how society receives information from the Internet. As a result, we expect it to be a multiyear and multi-pronged deployment that has begun with R&D work in the labs and is now moving to the field. Our TRS-RenTelco business is well positioned with key supplier relationships to respond to customer demands quickly and effectively, and we are monitoring developments closely. At Adler Tank Rentals, demand growth continued from oil and gas customers in both upstream and downstream markets. Rental revenues grew 7% and operating profit increased 36%. Our strategy of selectively directing our sales force to more profitable transactions is working as rates improved this quarter by 6% and utilization at the end of the quarter was over 59%, the best first quarter in the utilization we have realized since 2015. We believe that the industry is on a more healthy footing, and we hope for further improvements as the year progresses. On March 27, we celebrated the 40th anniversary of McGrath RentCorp. As I think about our 40th anniversary, the company culture jumps to the forefront. It is clear that the environment Bob and Jaon McGrath created 40 years ago, when they started McGrath RentCorp, defined our company's success in the early days and is still alive and well today. One of our enduring core values is a relentless commitment to exceptional customer experiences everyday and with every interaction. Feedback we receive from ratings and reviews online, net promoter score surveys and direct customer communications is something we monitor very closely. The feedback consistently shows a team committed to serving the customer. This has been an important aspect of our success, and I believe it will continue in the future. Our drive to an improved performance continues as we remain focused on generating strong financial returns from our deployed fleet and from new investments. We are glad to see the year has started on a good note, and we'll be working hard to deliver on our commitments to customers and shareholders throughout this anniversary year. So now, let me turn the call over to Keith, who will take you through our financial review.
Keith Pratt: Thank you, Joe. For the first quarter of 2019, total revenues increased 16% to $122 million from $105.1 million for the same period in 2018. The company's 24% operating profit increase for the quarter was driven by a $3.8 million increase in gross profit from rental revenues and a $1.9 million increase in gross profit on sales. Net income increased 28% to $18.4 million from $14.5 million, and earnings per diluted share increased 27% to $0.75 from $0.59. Now let's review rental division performance compared to the first quarter of 2018. Mobile Modular total revenues increased $11.2 million or 21% to $65.1 million on higher rental, rental-related services and sales revenues. Rental revenues for the quarter increased 14% from a year ago, primarily driven by a 7% improvement in average rental rates and 6% higher average equipment on rent. Sales revenues increased $3.4 million or 74% on higher new and used equipment sales. Rental revenue growth continued to be healthy across our commercial and education markets as well as in our Portable Storage business. Equipment preparation cost or other direct costs of rental operations increased $2.3 million or 22% to $12.6 million. The increased other direct costs in 2019 was attributable to higher workload volumes to support earlier rental demand in our education markets and due to higher labor and material costs. Rental margins decreased to 57% from 58%. The combined result of higher rental revenue and lower rental margin was a 13% increase in gross profit on rents. Average modular rental equipment for the quarter was $778 million, which was an increase of $32 million. Average fleet utilization for the first quarter increased to 78.8% from 77.3%. TRS-RenTelco total revenues increased $2.6 million or 9% to $30.7 million on higher rental and sales revenues. Rental revenues for the quarter increased 10%, primarily driven by 10% higher average equipment on rent. Rental margins decreased to 42% from 44%. The combined result was a 6% increase in gross profit on rents. Test equipment rental revenues for general purpose and communications increased by 10% and 8%, respectively.  We continue to invest in general purpose test equipment for growth opportunities. Average electronics rental equipment for the quarter was $284 million, which was an increase of $20 million. Average utilization for the quarter increased to 64.3% from 62.7%. Adler Tank Rentals total revenues increased $2.3 million or 11% to $23.4 million on higher rental, rental-related services revenues, which were partly offset by lower sales revenues. Rental revenues for the quarter increased 7%, primarily driven by 6% higher average rental rates and 1% higher average equipment on rent. The higher rental rates were a result of better market pricing as well as a favorable product mix. Rental margins decreased to 58% from 59%. The combined result was a 5% increase in gross profit on rents.  Adler's rental revenue growth was broad-based with increases in 4 of our 6 vertical markets. Upstream oil and natural gas rental revenues accounted for 12% of total rental revenues, while our average fleet size was up only 1% year-over-year, we continue to focus on better utilization of the existing fleet. Now with this review, division review complete, the remainder of my comments will be on a total company basis. Total company equipment sales revenues increased to $16.8 million from $12.1 million a year ago. Timing of sales revenues can fluctuate from quarter-to-quarter and year-to-year, depending on customer requirements. At this point, we expect total sales revenues for the first half of 2019 to be comparable to the same period in 2018. Therefore, given the earlier timing of higher first quarter sales revenues, we currently expect lower total sales revenues in the second quarter compared to a year ago. Selling and administrative expenses increased $1.6 million or 6% to $29.7 million primarily due to higher salaries and employee benefit costs. Interest expense for the first quarter 2019 was $3.1 million. Higher net average interest rates were partly offset by lower average debt levels. The first quarter 2019 provision for income taxes was based on an effective tax rate of 23.9%, which was comparable to the first quarter of 2018.  Next, I would like to review our 2019 first quarter cash flow highlights. Net cash provided by operating activities was $46.5 million, an increase of $15.3 million compared to 2018. The 49% increase was primarily attributable to improved income from operations, deferred income and other balance sheet changes. We invested $34.1 million for rental equipment purchases compared to $24.2 million for the same period in 2018, primarily due to higher purchases at Mobile Modular. Property, plant and equipment purchases were $2.8 million, comparable to a year ago. Dividend and payments to shareholders were $8.2 million. Net borrowings decreased $9.1 million from $298.6 million at the end of 2018 to $289.5 million at the end of the first quarter 2019. At quarter-end, the company had capacity to borrow an additional $242.5 million under its lines of credit, and the ratio of funded debt to the last 12 months actual adjusted EBITDA was 1.38:1. First quarter 2019 adjusted EBITDA increased 16% to $49.9 million compared to the same period in 2018. Consolidated adjusted EBITDA margin was 41% in the first quarters of 2019 and 2018. Our definition of adjusted EBITDA and a reconciliation of adjusted EBITDA to net income are included in our press release for the quarter. Finally, turning to our 2019 financial outlook. We reconfirm our expectation that total company operating profit for the full year 2019 will increase between 5% and 10% over 2018 results.  That concludes the prepared remarks on our quarterly results. Liz, you may now open the lines for questions.
Operator: [Operator Instructions] Our first question comes from the line of Scott Schneeberger with Oppenheimer.
Scott Schneeberger: Certainly a strong start to the year. I'm going to start off with a bit of a maintenance question. Now, Keith, you mentioned that in second quarter a little bit lower in equipment sales year-over-year and that's in light of the strong first quarter. I'm just curious, how those 2 are going to net out in the first half? I know it's difficult to predict. And then ramifications for the full year, I didn't see any change to guidance on sales, so I assume not. But just how you're thinking about it, is it going to be a net flat? Or was there a little bit something particularly large in this first quarter of the year?
Keith Pratt: Yes, Scott, sure, happy to try and add more clarity there. I think the first comment is, we were delighted with first quarter sales. Really strong results for the company overall, $17 million up from $12 million a year ago, that's a 39% increase. So very strong. Most of the increase was related to new equipment sales on the modular side of the business. The thing I commented on, and we periodically talk about this, is that timing of sales is all driven by the customer. It's all related to customer projects, particularly on the modular side. So at this point, when we look at how the year is playing out, we certainly had a very strong start to the year.  When we look today at what we see likely to occur in the second quarter, we don't think it will be as high as the second quarter a year ago. Our expectation is for the full first half, total company sales will be similar to what they were a year ago. And then to answer your question about the full year, no change at this point in our outlook. We mentioned in February that we think full year sales will be comparable to what they were in 2018, and keep in mind, we had exceptionally strong sales in 2018 and even the prior year 2017. So keeping at that kind of a level for the business is very strong performance. And as Joe mentioned in some of his prepared remarks, overall pipeline of opportunity for sales in 2019 looks very good.
Scott Schneeberger: Excellent. And then because it just, it certainly feels conservative with such a good start. Moving over to rental and modular, a very strong start there, could you speak to the pricing environment? And what you feel is left out there to obtain?
Joe Hanna: Sure, Scott, this is Joe. Pricing environment's been good. We've realized good rate improvement on a year-over-year basis. And we're not done. We still have room to be able to raise rates across the board and in most of the regions that we operate in. So there is still room there.
Scott Schneeberger: I'm going to TRS next, and Joe, you touched on it in your prepared remarks. 5G obviously is going to be significant, and in the last call, you were talking about more, it's in the research room than out in the field. It sounded like your commentary was a little bit more balanced as far as how McGrath is seeing it this quarter, could you elaborate a little bit, please?
Joe Hanna: Sure, let me just say a few things about 5G and hopefully that'll set the stage for how we're looking at it. I mean we're in the early innings of a significant technology cycle. There's still a lot of things that we need to learn about how this is all going to unfold. Much of the work to date that we've seen has been work on devices and ship development, and that's been in the lab, and there hasn't been much happening in the field yet on the towers. This is a real positive for our general purpose business. Testing in the labs, we think, we'll have more of an opportunity for 5G than there was for 4G.  Testing, in this case, for 5G will go beyond smartphone connections and tower upgrades that we saw with 4G. And they're calling 5G wireless fiber, it's going to be 100 times faster than 4G. So there is devices and equipment that hasn't even been invented yet that will be taken advantage of the Internet of Things and a lot of that's going to take place in the lab. So we see this future unfolding of 5G as a balance business opportunity for us in the lab and in the field. Hopefully that explains it a little bit more clearly.
Scott Schneeberger: That's good. That's helpful. I'll just ask one more, and then I'll turn it over. In Adler, it sounds like things are going well there. Utilization flattish year-over-year, but good rate I believe I saw. Could you speak to industry capacity conditions? Because that's an interesting dynamic there. And then, also how is your visibility across the end markets you serve, if you wouldn't mind going around the horn a little bit on that?
Joe Hanna: Sure, industry capacity, I mean, we're seeing from our competitors that utilization is improving and ours is improving also. It's not where we wanted to be at this point, but it is improving and we're very happy about that. So we think the demand picture is healthier than it was a year ago, and we're very glad to see that. From a regional perspective, all 5 of our regions actually grew on a year-over-year basis, so we are very happy about that. And 4 of 6 of the industry verticals that we serve also were growing. And that was really strength, the strength that we saw there was in oil and gas and both upstream and downstream. So that's kind of a brief recap for you.
Keith Pratt: And Scott, if I could just add, while Adler's utilization on average for the quarter was down very slightly, we did have period end utilization that was up nicely compared to a year ago and higher than the average for the quarter. That was at 59.2%.
Scott Schneeberger: Kieth, and just following up on that. It seems like you guys are quite disciplined on price and the industry is improving there. So going forward, should we look to anticipate all your operating metrics aligning in that segment to the positive? Or is that not something you feel comfortable stating at this point?
Keith Pratt: Yes, Scott, I think the challenge on this business, and it's similar to our electronics business, with the shorter transactions, shorter rental term transactions, a lot can change every few months. So I think you've got a sense of the disciplines that our teams apply in pursuit of the business. But again, we're going to ride the wave of general overall market conditions and competitor behavior and then try and do well in that context. So if the industry is healthy, if the market demand is there, we'll keep working on the things we've been working on, disciplined pricing, looking to utilize more of the equipment we already own.
Operator: Our next question comes from the line of Marc Riddick with Sidoti.
Marc Riddick: I was wondering if you could spend a little more time on the comments that you made around education and the order patterns being maybe a little ahead of what you've seen in the past. And I was wondering if you could sort of give us a little bit more color there. And maybe it's on the sense of, was there anything about locals that were a little ahead of where you've seen in the past? And maybe what that might do for visibility? And how you've been make a, get the, you get the benefit from that?
Joe Hanna: Sure. Well, first of all, there's been quite a bit of bond money and, on a state and local level that's been put into the market and made available for school districts. And so, what we're seeing is that most of, some of the school districts, some of the customers that we deal with are actually just getting through their projects and the timing of which they're ready to release those funds can vary, and this particular year, some of the districts were ready earlier than in other years. And so it just depends and sometimes it's earlier, sometimes it's later. Most of the strength we saw was in California, but we also saw our Florida school districts and Mid-Atlantic, as I said in my prepared remarks, were also up. So we're very pleased about that, and we're happy to put equipment not only on the line earlier, but ship it and bill it earlier too.
Marc Riddick: Okay. And then I'm curious as to, and I'm not, is there a way for you to tell whether part of that demand strength was related to any prior weather-related damage? Or, because it seems as though maybe, I'm not sure, if that was something that might have been beneficial to you, I was wondering if you could sort of touch on that and if that's something that you were aware?
Joe Hanna: Sure, we did take advantage of some weather-related items in the past, and that was mostly in Q4. So the impact to our rental revenues was small in that case.
Marc Riddick: Okay. And then you touched on, looking at a couple of new locations, and I was wondering if you could maybe sort of give us maybe a longer-term view on some of geographic expansion opportunities that you may see? Or if that's advanced a little bit over the last couple of quarters or so?
Joe Hanna: Sure. The locations or the business that's, actually I mentioned that we'll be opening locations was for Portable Storage. And we analyze markets on an annual basis, we're always looking for opportunities for expansion, and there we operate in a select number of markets today. We see room to be able to expand in the future, and we're, we've got plans to be able to do that, but nothing firm at this point beyond the 2 that we mentioned this year.
Marc Riddick: Okay. And forgive me if I missed this before, but the expansions in the Portable Storage that's in the markets that you already have operations in other areas? Or is this Greenfield, I'm sorry?
Joe Hanna: These will be Greenfield.
Operator: Our next question comes from the line of Sam England with Berenberg.
Sam England: Just a couple for me. The first one, it was obviously a strong quarter on the cash side, so I was just wondering how you're thinking about capital allocation for the rest of this year? Which divisions do you think you'll look to expand the fleet in over the rest of 2019?
Keith Pratt: Yes, Sam. Strong cash flow is definitely a highlight as we started the year and driven by the very strong operating profitability from the business. If you look through the details on the CapEx spend, our CapEx was up, we spent in the first quarter $34 million. That's up from $24 million a year ago, really reflecting some good opportunities particularly on the modular business for organic investment in the business. That's always the first thing that we look at. If market conditions are healthy, and we see opportunities that meet our criteria. And that will continue to be a focus for us. We keep our eye out on the M&A front for any small tuck-ins or opportunities if there's a good piece of business at a fair price, that's always on our radar as well. And obviously, the dividend, we uptick that nicely as we discussed in our call in February. So those remain priorities, and we'll continue with that for the rest of the year.
Sam England: Great. Then the next one was just looking at the Mobile Modular business I was wondering if you could elaborate a bit more on the segments that drove the growth aside from just education? Which we obviously heard about already.
Joe Hanna: Sure, on the commercial side of the business, we're seeing growth in a number of different sectors government, private industry, there's a lot of infrastructure projects that are taking place, there's private industry that's, needs space and expansion for corporate expansion and new headquarters buildings and things like that. So I mean, we're seeing that growth virtually across the country in all of the regions that we operate in. And also, Yes also too, I want to let out our Petrochem business, which has been strong also in the Gulf coast.
Keith Pratt: And Sam, I'd also add into the mix. As you recall late last year, we added the blast-resistant module product offering to the modular mix. And no, that's not included in our numbers and gives us a little bit of a lift compared to a year ago.
Sam England: Okay. Great. And then the last one, just a small one on TRS. It looks like there was a bit of a, an uptick obviously on the selling and administrative expense side, and you mentioned some higher salaries and benefits, et cetera, was it just that, that drove the increased selling and admin expenses in TRS or was there anything else you'd point to?
Keith Pratt: Yes, up slightly, I think. As well, there can be some corporate allocated expenses that can be a factor as we allocate corporate overhead across the divisions. But that combined with this customary health and benefit type cost increases drove the number.
Operator: [Operator Instructions] I'm showing no further questions in queue at this time. I'd now like to turn the call back to Mr. Hanna for closing remarks.
Joe Hanna: I'd like to thank everyone for joining us on our call today and for your continuing interest in our company. We look forward to speaking with you again in June during our annual shareholders meeting and in late July to review our second quarter 2019 results.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program, and you may now disconnect. Everyone, have a great day.